Operator: Greetings, and welcome to the Oxford Industries Fourth Quarter Fiscal 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Brian Smith. Please go ahead.
Brian Smith: Thank you, and good afternoon. Before we begin, I would like to remind participants that certain statements made on today's call and the Q&A session may constitute forward-looking statements within the meaning of the federal securities laws. Forward-looking statements are not guarantees and actual results may differ materially from those expressed or implied in the forward-looking statements. Important factors that could cause actual results of operations or financial condition to differ are discussed in our press release issued earlier today and in documents filed by us with the SEC, including the risk factors contained in our Form 10-K. We undertake no duty to update any forward-looking statements. During this call, we will be discussing certain non-GAAP financial measures. You can find a reconciliation of non-GAAP to GAAP financial measures in our press release issued earlier today, which is posted under the Investor Relations tab of our website at oxfordinc.com. I now like to introduce today's call participants. With me today are Tom Chubb, Chairman and CEO; and Scott Grassmyer, CFO and COO. Thank you for your attention. And now, I'd like to turn the call over to Tom Chubb.
Tom Chubb: Good afternoon, and thank you for joining us. We are pleased to be reporting fourth quarter net sales and adjusted EPS that are both near the top of our guidance ranges. In December we said that we were expecting a strong holiday selling season. That expectation turned into reality as the consumer did in fact show up to buy their loved ones and friends the gifts that they really wanted from the brands that they love. We were particularly pleased in the weeks leading up to Christmas by the performance of some of our newer special product such as Tommy Bahama's Indigo Palms Denim and Denim Friendly Product, the Tommy Bahama Marlin Luxe Quarter Zip Pullover and the Lilly Pulitzer Reserve Collection. The performance of these higher price point products is strong evidence that when there is reason to shop, our customers are choosing to spend with our brands and this helped drive comps for the month of December up 2%. As we moved into January, we experienced a moderation in demand which we attribute to the recent pattern of consumers retreating when there isn't a reason to spend combined with a deterioration in consumer sentiment. As a result, January was not as strong as December with comps down 3%. This negative trend accelerated in the beginning of fiscal 2025 with comps of negative 9% in February. Given this backdrop, we are pleased with our fourth quarter performance and commend and thank our people for delivering these results. We believe the choppiness and demand we experience towards the end of fiscal 2024 is likely to continue in the near term, just as the consumer showed up and was willing to spend for Christmas. We expect the same will be true for the first half of fiscal 2025 with strong selling for big events such as Easter, Mother's Day, Father's Day, Memorial Day and the Fourth of July. In the in between times, we anticipate the consumer will be more hesitant to spend given the uncertainty in the current marketplace. With our powerful portfolio of happiness evoking brands, our world class omnichannel platform, our strong cash and balance sheet and our resilient team, we continue to believe that the long-term opportunity for us is extremely bright. However, we are realistic enough to recognize that we are not immune from the current headwinds. As with any time of uncertainty, the key for us in the short term is to control the controllables and to stay focused. At the top of our focus list is our customer. Our top priority is staying hyper focused on the four point North Star that serves as the blueprint for how we run the company. As a reminder, our four point North Star starts with our overarching strategy to maximize long-term shareholder value. The key here is to remember that we're building a sustainable business and shareholder value for the long-term, notwithstanding the short term turbulence. The second point of our strategy is to own a portfolio of lifestyle brands. We have 83 years behind us and have remained successful through many challenges. We know how to do this. During this uncertain time, we will make sure that we are protecting the integrity of our brands for the long-term. Protecting the integrity of our brands means avoiding short term fixes to offer slightly improved near term results that would damage our brands and our prospects for the long-term. Third is our purpose as a company which is to evoke happiness in our consumers. All of our brands are happy brands that metaphorically take our customers to their happy place. It is important for us to stay focused on delivering that happiness to our customers and not get distracted by external challenges beyond our control. Our fourth and final area of focus is to generate cash that we can then reinvest to grow our existing businesses, pursue acquisitions when the opportunity exists and returning capital to our shareholders, all while maintaining a healthy balance sheet. Each of our brands has detailed plans for fiscal 2025 tailored to their unique circumstances, challenges and opportunities. However, all of them have one thing in common and that is that they focus on the core of what makes the brand great. For Tommy Bahama, focusing on the core is about ensuring that we are engaged and fully activated in our top 25 markets. We have a tremendous following in each of these markets that serves as a great foundation for the business. At the same time, there is a significant opportunity to attract a much larger audience to the brand as we ignite and activate these core markets in 2025, our plan is to not only delight our current customers, but connect with prospective customers to drive more traffic and higher conversion across all channels. At Lilly Pulitzer, focusing on the core is all about the top 20% of our customer base. The top 20% of our customer base accounts for 67% or two thirds of our sales and even more of our profitability as they tend to buy at full price. Making sure that we have the products, experiences and marketing messages that delights these customers will help ensure they are fully engaged in spending money with us during fiscal 2025. We also believe that doubling down on serving our best customers will help us to attract many, many more who are demographically and psychographically similar to our existing top customer base. In Johnny Was focusing on the core is about getting back to the brand's roots through the type of products that made Johnny Was famous and a favorite with hundreds of thousands of customers. As we stretched the boundaries of what the brand can be in the last several years, we probably took a little bit of focus off the embroidered and embellished products that consumers came to love. During 2025, we will focus on delighting our engaged customers with an enhanced assortment of what we call our collection product merchandise that better reflects Johnny Was origins. We believe this focus on what makes Johnny Was unique and differentiated in the marketplace will also help us attract new loyalists to the brand. Scott will provide more detail on our guidance in a minute, but it is fair to say that the ongoing uncertainty in the marketplace has made us a bit more cautious in our view for the full year. That said, we still expect cash flow to remain strong with cash flow from operations projected to be approximately $170 million for the year, and we intend to continue to invest that cash flow in the areas that we will believe help drive long-term shareholder value. At the top of our investment priorities is continuing to grow and strengthen our omni channel platform. In recent months, we have completed significant upgrades to our Tommy Bahama, Lily Pulitzer, Southern Tide and the Beaufort Bonnet Company e-commerce websites. In addition, late this year we expect to complete the new distribution center that will allow us to increase our inventory velocity and sell throughs as it services our very large omnichannel business in the eastern and southern parts of the country. During the year we also plan to open approximately 20 new stores, including four new Marlin bars, and we remain focused as always on returning capital to shareholders, and we have already purchased $50 million worth of stock during the first part of this fiscal year at prices that we believe over the long-term will prove to be very attractive. In addition, on Monday our Board of directors approved a 3% increase in our quarterly dividend from $0.67 to $0.69. As a reminder, we have paid a dividend every quarter since we went public in 1960. As we navigate the uncertainty of our confidence is buoyed by the fact that as a company, as a team, we know who we are and we know what we are doing. I'll now turn the call over to Scott for more detail on the fourth quarter, the full year and our outlook for fiscal 2025. Scott?
Scott Grassmyer: Thank you, Tom. As Tom mentioned, we finished the fourth quarter in full fiscal year 2024 with top and bottom line results at the top end of our guidance range. Our operating groups had strong holiday seasons and performed well during the fourth quarter despite pullback in consumer spending in January. Consolidated net sales in the 52-week fiscal 2024 decreased 3% to $1.52 billion. As a reminder, 2023 net sales included an approximate $16 million from the 53rd week resulting in $10 million of additional gross profit. Sales in our full price brick and mortar locations were down 2%, driven by a mid-single digit negative comp, partially offset by the addition of new store locations. E-commerce sales decreased 4%. Our food and beverage and outlet locations performed better with a 1% and 3% sales increase respectively, driven by new locations, partially offset by low single digit negative comps. Our wholesale channel, which had a particularly challenging year, decreased $31 million or 10% as the specialty store business across our brands continues to struggle, partially offset by increased sales to major department stores. Adjusted gross margin contracted 80 basis points to 63.2, driven primarily by a higher proportion of net sales occurring during promotional and clearance events in Tommy Bahama, Lilly Pulitzer and Johnny Was. Across our three major brands and throughout fiscal 2024, consumer response was strongest to our new and innovative fashion products and during our promotional and end of season clearance events. We believe the higher proportion of spending around key promotional periods represents a return to pre-COVID spending habits. The decrease in gross margin resulting from an increase in promotional and clearance sales was partially offset by change in sales mix with a greater proportion of our sales coming through our direct to consumer channels. Our Merchant brands group was able to significantly increase gross margin through improved inventory positions and fewer promotional sales. Adjusted SG&A expenses increased 4% to $841 million compared to $807 million in fiscal 2023, which also included approximately $11 million of incremental SG&A from the 53rd week. During fiscal 2024, we incurred higher expenses related to the annualization of incremental SG&A related to the 23 net new stores added during fiscal 2023. Recent and ongoing investments in our business, primarily from the addition of 30 net new brick and mortar locations opened during fiscal 2024, including three new Tommy Bahama Marlin Bar locations. Costs related to some of the approximately five new brick and mortar locations that we expect to open early in the year, and the Tommy Bahama King of Prussia and Charlotte, North Carolina Marlin Bar locations that opened last week, and the addition of Jack Rogers of the Jack Rogers brand acquired in the fourth quarter of fiscal 2023. The result of this yielded $136 million of adjusted operating income or a 9% operating margin compared to adjusted operating income of $216 million, or a 13.8% of net sales in the prior year. The decrease in adjusted operating income reflects the impact of our SG&A investments in a difficult consideration consumer environment that resulted in decreased sales and lower gross margins. Moving beyond operating income, we benefited from $4 million of lower interest expense resulting from lower average debt levels and a lower adjusted effective income tax rate. Our tax rate was impacted by certain discrete items, including interest income associated with a refund received related to our fiscal 2020 net operating loss. With all this, we ended with $6.68 of adjusted EPS, which was at the top end of our guidance. I'll now move on to the balance sheet beginning with inventory. At the end of fiscal 2024, inventory was up 5% on both a LIFO and FIFO basis. The increase was primarily driven by the early receipts of shipments from Asia ahead of the effective date of some of the new tariffs. We ended the year with outstanding long term debt of $31 million, up slightly compared to the prior year as our $194 million of cash flow from operations in fiscal 2024 were outpaced by our elevated level of Capital expenditures of $134 million primarily related to Alliance Georgia distribution center project and the addition of new brick and mortar locations, $43 million of dividends, acquisitions and changes in working capital needs. I'll now spend some time on our outlook for 2025. For the full year, we expect net sales to be between $1.49 billion and $1.53 billion or down 2% to up 1% compared to sales of $1.52 billion in 2024. The sales plan in 2025 includes a total comp decline of between 2% and 4%, growth in our Lilly Pulitzer and Emerging Brand segments, partially offset by decreases in our Tommy Bahama and Johnny Was segments. By distribution channel, the sales plan consists of relatively flat sales in both the brick and mortar and wholesale channels and a mid-single digit increase in food and beverage. We also expect e-commerce sales to decrease in the low single digit range. We anticipate gross margin will decrease in 2025 between 50 basis points and 100 basis points, primarily driven by the impact of tariffs and the expectation of lower proportion of full price direct to consumer sales. Similar to what we experienced in fiscal 2024, we expect the trend of our consumers responding strongly to our promotional events and all price offerings to continue in fiscal 2025. Related to tariffs, our gross margin forecast includes an unmitigated tariff impact of approximately $9 million to $10 million or about $0.45 to $0.50 per share on goods made in China based on the recently enacted incremental tariffs currently in fact. As the entire tariff landscape becomes clearer, we will continue to put further mitigation steps in place. Our mitigation steps have and will continue to include receipt of inventory ahead of the effective date of new tariffs, sourcing shifts to countries with lower duty and tariff rates, sharing of tariffs with our vendors, merchandising shifts to more favorable duty products and select price increases. Our strong brand management teams have a track record of successfully mitigating past tariff increases and are proactively implementing mitigation strategies related to the known tariff shifts. We expect to be able to materially mitigate the impact of the known and implemented tariffs by the spring of 2022 through these mitigation actions. Moving beyond tariffs and gross margin, we expect SG&A to grow in the low to mid-single digit range primarily due to the annualization of incremental SG&A from the 30 net new stores added during fiscal 2024. Investments in additional brick and mortar locations openings in 2025 including four new Marlin bars. Our net new brick and mortar count is expected to increase by approximately 20 locations and incremental costs related to the opening of our new distribution center in Lyons, Georgia in the fourth quarter of 2025. While we expect our store count to increase in fiscal 2025 primarily due to signed lease agreements in our store pipeline, we anticipate that our store opening pace will slow during fiscal 2025 and into 2026 as we signed fewer new agreements and opened fewer Johnny Was and Southern Tide locations. At the same time, Tommy Bahama and Lily Pulitzer will continue to be highly selective with any new locations. Also, within operating income, we expect royalties and other income to be relatively flat in fiscal 2025. Additionally, our fiscal 2025 guidance includes the unfavorable impact of non-operating items including anticipated higher interest expense at $7 million for the year compared to $2 million in 2024 or an approximate $0.20 to $0.25 EPS impact. The increased debt levels in fiscal 2025 are due to our continued capital expenditures on the Lyons, Georgia distribution center and return of capital shareholders exceeding cash flow from operations. We also expect a higher adjusted effective tax rate of approximately 24.5% compared to 20.9% in 2024 which benefited from certain unfavorable items primarily related to interest income from tax receivables that are not expected to reoccur in 2025. The higher tax rate will result in a profit approximately $0.20 to $0.25 per share impact. Considering all these items including the $0.85 to $1 impact from tariffs, higher interest expense and a higher tax rate, we expect 2025 adjusted EPS to be between $4.60 and $5 versus adjusted EPS of $6.68 last year. In the first quarter of 2025, we expect sales of $375 million to $395 million compared to sales of $398 million in the first quarter of 2024. The sales plan in the first quarter includes decreases in our direct consumer channels partially offset by an increase in our wholesale channel. We also expect decreased gross margin resulting from lower proportion of full price sales, sales and the impact of tariffs SG&A deleveraging largely from the impact of new stores. As previously mentioned, higher interest expense of approximately $1 million, an effective tax rate of approximately 100 basis points lower than the first quarter 2024 rate of 25.6. We expect this to result in first quarter adjusted EPS between $1.76 and $1.90 compared to $2.66 in the first quarter of 2024. As spending on the investments we intend to make in our business, I'd like to briefly discuss our CapEx in fiscal 2024 and our outlook for 2025. In fiscal 2024, total capital expenditures of $134 million included approximately $70 million spent on the multiyear Alliance Georgia distribution center project that we anticipate will require a total investment of $130 million. Similar to fiscal 2024, the most significant portion of our anticipated $125 million of capital expenditures in fiscal 2025 will relate to the completion of Lyons Georgia distribution facility expected in the fourth quarter of fiscal 2025. The remaining capital expenditures in fiscal 2025 will relate to the execution of our pipeline of new stores and Marlin bars, including four expected to open in 2025 and increases in store count primarily across Tommy Bahama, Willie Pulitzer, Southern Tide, TBBC and store remodels and other maintenance capital. We expect the elevated level of capital expenditures in fiscal 2024 and fiscal 2025 to meaningfully moderate for fiscal 2026 and beyond after the completion of the Lyons Georgia Project. Wrapping up our guidance. Cash flow from operations are expected to be strong along with borrowings on our revolver will provide us with ample room to fund the previously mentioned investments, pay our quarterly dividend and fund share repurchases. In the first quarter of fiscal 2025, we initiated and completed a $50 million 10b5-1 program where we repurchased 842,000 shares, or approximately 5% of outstanding shares at what we believe will prove to be an attractive average price of $59.38. Following our recent buying activity, the board authorized a new $100 million share repurchase program on March 24th that replaces our previous authorization. Thank you for your time today and we will now turn the call over for questions. Stacy?
Operator: Thank you. [Operator Instructions] Your first question comes from Ashley Owens with KeyBanc Capital Markets. Please go ahead.
Ashley Owens: Good afternoon. So to start, I wanted to touch on the first quarter guide. I know you spoke to some of the comps and what you've seen thus far. Maybe if you could help us unpack some of the different headwinds you mentioned in the magnitude of each. Did it vary by brand at all. And then additionally, as we think about the balance of the year, some of the puts and takes in your assumptions for both the low and high end of the revenue guidance ranges. Thank you.
Tom Chubb: Well, on the relative strength of the brands, what I would tell you is that Lilly is the strongest performer right now and is actually doing pretty well right now. The rest of the brand, the bigger brands are off a bit. I will point out that you, we do have the Easter shift this year, so not entirely surprising to see March comping down a bit given that Easter shifted really completely out of March and into April. And then in terms of the guidance for the balance of the year puts and takes on the top and bottom end of the revenue range. Yes, yes, we do have the new stores which are helping offset the negative comp assumption. But again, we expect Lilly to comp positive, maybe some of our smaller brands to comp positive. And Tommy and Johnny Was our plans have them comping a little bit negative.
Ashley Owens: Okay, great. And then quickly as well, I'm hearing from some of the other brands we've spoken to, we're hearing from wholesale partners that they're tightening some of the order books for the remainder of the year and becoming cautious again. Would be curious if this is something you've observed and if there's any variances by brand then additionally, just maybe a little bit on the details for the Johnny Was plan. It was down 9% in the quarter or so where you're observing some of the soft spots, if it's regional or broad based? Anything outside of the assortment that you want to or see opportunity to change this year? And then anything you can say on wholesale door increases as we move through the year. I believe you mentioned before that the brand was reentering some accounts in 2025.
Tom Chubb: Yes, I think in terms of the overall wholesale market, there is, I think concern out there that some of the big retailers will pull back their forward orders a bit. And we would look at that as being a potential headwind for sure. And we've thought about that as we build our forecast. On the other hand, the performance of our brands on the retail floor of our key wholesale accounts has been quite good, quite strong and usually that helps protect you against some of the downdraft. So a bit of sort of contraindications, if you will, the headwind of what they may be feeling in the overall market, but the sort of the tailwind that we might be getting from our very strong performance. In fact, in a lot of cases we're performing better in those stores than we are in our own stores. In terms of Johnny Was, we do hope to be able to rebuild the wholesale business there, which has slipped a bit in recent years, especially in the majors. And I think are optimistic about that, although again, you have the kind of the potential headwind of the market just more broadly pulling back there. And I think that was. Did she have another question? I think that covered.
Ashley Owens: The only other thing would have been with Johnny Was just anything outside of the assortment for opportunity to change this year.
Tom Chubb: Yes, well, I think, improving the performance of the retail stores is a big focus. I mean, overall right now the market is very challenging, but we're doing everything we can from the way that we're visualizing merchandising the stores to the way that we're staffing them to the way that we're assorting them, including overall, shifting the assortment a little bit more towards our classic collection type product, but then at a more micro level trying to sort the individual stores better. So we've got a lot of plans there to try to improve the retail performance. We also obviously hope to be able to improve our wholesale book of business. The wholesale has a great contribution margin, so every incremental dollar of wholesale does a lot for us on the bottom line. Those are kind of the key things that Johnny Was. And then the last one I'd call out, which I think we talked about maybe in previous quarters, but is really trying to improve the efficiency of the marketing spend. And that's not just for Johnny Was, but I would say especially for Johnny Was trying to improve the efficiency of the marketing spend.
Ashley Owens: Okay, great. Thanks for passing along. Thank you.
Tom Chubb: Thank you, Ashley.
Operator: The next question. Janine Stichter with BTIG. Please proceed.
Ethan Saghi: Hey, you've got Ethan Sagi on for Janine. First question, just with all the macro uncertainty going on so far this year, are customers still responding positively to newness in the assortment or have they pulled back across the board? And would you say your assortment is more balanced with newness now or is there still some room to improve?
Tom Chubb: Yes, no, we have. We've got significantly more newness in especially our biggest brands. Tommy and Lily have taken big steps up in the amount of newness they have this spring versus last spring. And it is the newness that's driving the business. When overall you're a little bit soft sometimes it's hard to see strength. But we do have strength in newness. We're glad we have the level of newness that we have because the customer is responding to it really nicely. And Tommy Bahama, we've got the new Barbados Pro short, which, Ethan, if you like to be outside during the summer months, it's just a great product. It builds upon a lot of past successes that we've had in shorts and really takes it to a new level. And then Lily Pulitzer, some of the stars have been, I believe it's called the Tazia [ph] Dress, which has been a star. Our Disney capsule collection that we just released, I believe last week and has done really well. And that's a new thing for us. We've had Disney product before in our Disney stores, Disney Spring store, but this is available everywhere and it's done really, really well. And then the last example, the ultimate in newness really is Lilly Pulitzer Menswear, which we last did in a meaningful kind of way about 15 years ago. And that's been, it's small, it's not going to be a huge part of the business, but it certainly performed very well and has created a lot of excitement and buzz around the brand. So yes, newness is good and we got some newness and we're glad we have it.
Ethan Saghi: That's great to hear. And then just one more from me. So, besides needing more bullish consumer, just could you provide us some more detail on internal initiatives you're taking to improve conversion?
Tom Chubb: It's, all kinds of things, better product knowledge in the stores, trying to focus the customers or, excuse me, the associates, help them with the knowledge they need to better sell the products, tweaking the assortments. As we talked about, it's all kind of blocking and tackling kind of stuff that we're trying to do, making improvements to the websites that make it easier to get from wherever you start to check out and then easier to check in the prepared comments that we've done major upgrades to the Tommy Bahama, Lilly, Southern Tide and Beaufort Bonnet websites. And all of those have a lot of features that are in there that are designed to help move people through to check out and then get them checked out.
Ethan Saghi: Got it. That's really helpful. I'll pass it on and best of luck.
Tom Chubb: Okay, thanks, Ethan.
Operator: Next question. Mauricio Serna with UBS. Please go ahead.
Mauricio Serna: Great. Good afternoon and thanks for taking my questions. First, maybe could you talk about what is like the comm sale on March that you've seen? It sounds like things got a little bit better relative to February. So just so just wanted to get a better understanding on that and maybe help us understand…
Tom Chubb: Oh, sorry, go ahead.
Mauricio Serna: Yes. Okay, great. I was just going to say on the sales cadence for the year, I think like the implied guide is like for the average growth in the next couple of quarters, the next three quarters to be like roughly up 1%. Is that mainly a function of the store openings or is there you're embedding some sort of home sales improvement in upcoming quarters? Thank you.
Tom Chubb: Okay, I'll let Scott answer the second one. But as to the first one, I would say March feels better than February did. You do have the big sort of non-comp event of Easter shifting out of March and into April and as you know it moved sort of as far as it can move and is about I think as late as it can be and usually that, we 10 days before Easter or a big selling period. So moving that out of March and into April, you would almost expect March to have some challenges with the comp. So I think we feel better about March than February. It's still negative but I do think we'll pick up a lot of that in April and wouldn't be surprised to see April comp positive.
Scott Grassmyer: Yes. And the first half we have the negative comps are a bit bigger the second half, third quarter, we had a lot of noise last year in the third quarter with the two hurricanes, a tropical storm. So we think hopefully third quarter will be a little easier comp. But we still are more flattish there and kind of that trend into the fourth quarter. So we have not, we hope we've been very conservative in our comps. Obviously time will tell but we don't have, huge positive comps in the back half. We still have comps closer to flat in the back half and negative in the first half. The new stores will, are helping offset some of that. We have been two new Marlin bars last week, King of Prussia, Pennsylvania and Charlotte, North Carolina and both are off to very nice start. So we feel really good about those and do have some maybe a little more front end loaded openings this year than some of the past years. So hopefully we'll get a little more benefit late in the year from new stores that are open during the year than we have in the past.
Mauricio Serna: Got it. Very helpful. And then on SG&A, I recall like in the last few earnings calls you had talked about trying to get some operating leverage, trying to control SG&A, but this year is still going to be growing higher than sales. So I understand like drivers of growth. But what are some initiatives that you're doing to kind of like, try to like control the SG&A.
Tom Chubb: We're looking at everything, marketing efficiency. I really monitor marketing spend. And there have been some people reductions throughout the company. So we're really looking, at everything we can. We're trying to negotiate hard with vendors on all kinds of contracts, heavy initiative there. So we're looking at all things and a very good part of any SG&A increases, really these new stores within having negative or in having negative comps in a resisting basin. So we're not getting, you have to overcome that to get any leverage. But it is a real focus.
Mauricio Serna: Understood. Thank you so much.
Tom Chubb: Thank you, Mauricio.
Operator: Next question. Paul Lejuez with Citigroup. Please go ahead.
Tracy Kogan: Hey, thanks. It's Tracy Kogan filling in for Paul. I had a follow up first on an earlier question about what you're seeing from your wholesale partners. I know you said others are hearing that they're expressing caution, but I'm wondering what you're actually seeing in your order books. I think you had said your order books were positive as of your last earnings call. And I'm wondering if you're seeing changes there or if you haven't really seen it yet, but you maybe anticipate that. And then I have another question when you're finished with that one. Thank you.
Scott Grassmyer: We've now our latest projection has our wholesale business more flat, up a little bit in spring and down just a little bit, but we're still booking. So I think, we put a little caution into our projections of what our future bookings will be for the rest of the year. And as Tom mentioned, we are performing well on the floor. But most retail, most retail accounts probably are getting more cautious themselves. We are being more cautious on our inventory buys for the back half of this year and then we'll probably do the same for going into next year. We'd rather be in a situation instead of having too much inventory. Things bounce back. We're chasing a little bit. So we're approaching it with caution. Not panic, but just caution.
Tracy Kogan: Got you. That makes sense. And then I had a question on tariffs. I think you said that the dollar number, the $9 million to $10 million, was unmitigated. And I wondered, so is the entire $9 million to $10 billion in your guidance for this year, you assume no mitigation and maybe you might be able to mitigate some of that. I know you said you thought you'd mitigate it by 2026, but just kind of wondering if there some potential there that that comes in better if you can mitigate or maybe you've already built something in. Thanks.
Tom Chubb: We built some mitigation in, but those are more actions that, groups have identified. They're still negotiating with factories. We're still going through our pricing where we could change some retail prices for especially the later part of fall and into holiday. So there's still, I would think it maybe gets a little bit better, but a lot of the mitigation will really impact spring of 2026 where we think we can be fully mitigated. The challenge is we don't know what the true playing field is yet because we don't know what's going to happen in early April when different countries might have tariffs. So we might be running to a country that might not have been the right country to run to. So it is. The unknown is difficult. But the $9 million to $10 million, we don't think it could get worse than that for this year and hopefully it gets a little bit better.
Tracy Kogan: Got you. Thanks very much. Good luck, guys.
Tom Chubb: Thanks a lot.
Operator: There are no further questions. I would like to turn the floor over to Tom for closing remarks.
Tom Chubb: Thank you very much, Stacy. Thanks to all of you for your interest and we look forward to talking to you again in June. Hope you are well until then.
Operator: This concludes today's teleconference. You may disconnect your lines at this time and thank you for your participation.